Operator: Hello, thank you for standing by. And welcome to the Seer Fourth Quarter and Full Year 2020 Earnings Conference Call. At this time all participants are in a listen-only mode. After the presentation there will be a question-and-answer session. [Operator Instructions]  I will now hand the conference over to your speaker today, Carrie Mendivil, with Investor Relations. 
Carrie Mendivil: Earlier today, Seer released financial results for the fourth quarter and full year ending December 31, 2020. If you have not received this news release, or if you'd like to be added to the company's distribution list, please send an email to investor@seer.bio. Joining me today from Seer is Omid Farokhzad, Chairman, Chief Executive Officer and Founder; Omead Ostadan, President and Chief Operating Officer; and David Horn, Chief Financial Officer. Before we begin, I'd like to remind you that management will make statements during this call that are forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled forward-looking statements in the press release Seer issued today. For a more complete listing of this description, please see the Risk Factors section of the company's annual report on Form-10K for the year ending December 31, 2020 and then this other filings with the Securities and Exchange Commission. Except as required by law, Seer disclaims any intention or obligation to update or revise any financial projects or forward-looking statements either because of new information, future events or otherwise. This conference call contains time-sensitive information and is accurate only as of the live broadcast, March 29, 2021. With that I’d like to turn the call to Omid.
Omid Farokhzad: Thanks, Carrie. Today marks our first earning call as a public company. This is a seminal milestone for our company and a particularly gratifying one for me as the Founder of Seer. We will begin today's call with an overview of our opportunity and our strategy, we will then transition our comments to provide a review of our progress in 2020 and a preview of our objectives for 2021. Seer has gone from setting our initial vision of enabling broad scale access to deep unbiased proteomics to shipping products to our customers in just three short years. We have built a world-class team that is second to none in the proteomics space and we have a product solution that is well-positioned to enable the kind of proteomic studies that were just not possible before Seer. To our incredible team, I would like to take a moment and express my sincere thanks to each and every one of you for your passion, dedication and hard work. My special thanks to your families for their support and patience as we navigated a very difficult year to deliver exceptional outcomes. To our long-standing investors, thank you for your continued support. And to our new investors, welcome and thank you for your trust and partnership in building Seer. We are grateful that you all share our vision of making unbiased deep and large-scale proteomics broadly accessible. And in doing so, help our customers drive novel biological insight, create and expand new end markets and ultimately improve human health. We look forward to developing meaningful long-term relationships with each and every one of you as we grow the company and push the boundaries of our technology in pursuit of realizing our vision. Our understanding of biology has come a long way in the last 15 years. Just imagine if we had to face this pandemic today without broad scale access to genomic technologies that have driven testing and vaccine development at a pace and scale the world has never seen before. Now as profound of an impact genomic has had unhealth and management of diseases, I fully expect that broad scale access to proteomics with even a deeper and more profound impact in making the world a better place. Proteins are the drivers of all cellular functions, and large-scale access to unbiased and deep proteomics would likely lead to insights, applications and therapeutics otherwise not possible. I'm excited and humbled to be leading the company that is committed to making this happen. I fear we're developing innovative solutions to empower the scientific community to arrive at exceptional proteomics outcomes. To deliver against this objective, we have a four-pronged strategy. First, we want to set the pace for innovation in the proteomics space. We will deliver a continuous stream of disruptive products to enable novel approaches for interrogating the proteome. Second, we will leverage the unique capabilities of our differentiated solutions. We will pave the way to catalyze large scale proteogenomic studies that will accelerate functionalization of the genome and meaningfully advance our understanding of biology. Third, we will couple exceptional customer experience with transformative products. We will work with our customers to enhance their ability to create new applications and new end uses that will expand the markets for proteomics and proteogenomics. And forth, we will form strategic relationships with key customers and partners. We will create a rich ecosystem of solutions around the Proteograph Product Suite that extend utility, expand reach and drive adoption of our platform to labs of all types. We have developed the Proteograph Product Suite as solution that leverages our proprietary engineered nanoparticles to replace the current depletion and fractionation methods used to perform unbiased proteomics today. These depletion and fractionation methods are necessary for these proteomics studies because the proteome in any biological samples can span a wide dynamic range from the most abundant to the least abundant proteins. In plasma, for example, the dynamic range of the protein can expand over 10 orders of magnitude with fewer than 20 proteins, accounting for greater than 99% of the total protein by mass in a typical plasma sample. Now, in order to access a broad range of proteins and especially those that are of low abundance, researchers are forced to follow laborious, expensive, depletion and fractionation methods to methodically separate proteins before detection. These methods simply do not scale well, are accessible to few labs and are cumbersome to perform. Our Proteograph Product Suite replaces these methods with a streamlined, automated, workflow that can fit in front of nearly any detector delivering unmatched access to proteomics information. With the Proteograph Product Suite, we have reimagined the entire approach to unbiased proteomics, delivering a solution that can enable nearly any lab to adopt large scale proteomics and notion that was previously inconceivable. Now our Proteograph Product Suite is detector agnostic, providing the solution that makes access to large scale deep unbiased proteomics tangible and importantly, not just for a select group of thought leaders in proteomics but for really any lab wanting to do unbiased proteomics studies. Today the proteomics, communities detector of choice is a mass spec with an install base of 15,000 that are focused on proteomic analysis. Our Proteograph Product Suite can fit upstream to any mass spec addressing a long-standing, unmet need for efficient, deep unbiased proteomics at scale. Similar to the way next generation sequencing brought about a sea change in our approach to genomics, transcriptomics and biology. We believe Seer’s technology has the potential to affect this similar if not a more profound change. As we have previously shared with you, we began commercialization of a Proteograph Product Suite in late 2020. Our commercialization strategy comprises three stages, starting with a collaboration phase, followed by limited release, and culminating with broad release. This measured approach to commercialization is ideal for introducing highly disruptive products, and is one that has been established and proven to be successful in other sectors. Our commercialization approach allows us to demonstrate the power of the Proteograph Product Suite for key applications and leading KOL sites, develop strong reference sites and accelerate adoption by creating clear blueprints for other customers to follow. While existing proteomic labs, using mass specs, provide an incredible opportunity for us, we believe that our opportunity is far larger, and includes customers who want to add unbiased proteomics information and scale, but have not had a technology that allows them to do so. This includes some of the key labs and researchers who are performing large scale genomic studies, but are unable to impedance match these studies with equally large, deep, unbiased proteomics studies. These are the customers who will advance the field of protein genomics, which is predicated on the ability to connect genomics information to protein variant information at the amino acid level. It's important to note Seer is the only available at-scale technology to deliver peptide and amino acid level resolution which is necessary to match the nucleotide level genomic information and enable proteogenomics. Existing, unbiased, proteomic approaches do not scale. And existing, scalable, targeted, proteomic approaches are unable to see proteins at the amino acid and peptide level. Therefore, you can see the complexity of the proteome with these technologies, including the million plus protein variants that exists in the body. Variants that are critically important in understanding the dynamic spectrum of health and disease. Unbiased proteomic is also where the lion's share of the opportunity in proteomics and proteogenomics resides, and where we believe the majority of market expansion will occur over time. Seer will enable population scale proteogenomics studies to be performed, empowering the scientific community to identify tens of thousands of protein variants in plasma and hundreds of 1000s of protein variants in other tissue. This will enrich biological data sets and enhance the number of biomarkers and drug targets. Their overall impact on human health will be enormous. By combining population scale unbiased proteomics and genomics, we believe scientists will gain a richer understanding of biology, drive novel insights, accelerate functionalization of genomic variants, and ultimately, advanced human health in a much faster and broader way. With the launch of the Proteograph Product Suite, we have started down the path of making our vision of empowering the scientific community to access deep, unbiased, proteomic and scale and reality. I could not be more excited and more proud about what we're doing at Seer. 2020 was a defining year for us on so many levels. And despite a challenging environment, we reached a number of important milestones. We published results demonstrating the robustness of our platform for rapid, deep, precise, unbiased proteomics in Nature Communications and exemplified its utility for early detection of lung cancer, by our assessment of prior literature, this publication marked the largest, unbiased deep plasma proteomic study published at the time. We spun out PrognomIQ, a company focused on coupling deep, unbiased proteomics at scale with other omics approaches for early detection and diagnosis of diseases in oncology and other therapeutic areas. Seer retained a 19% ownership in PrognomIQ. We scale the organization and added seasoned leaders to our management team, and Board of Directors assembling a uniquely, qualified team to deliver on our vision. We commercialize our Proteograph Product Suite, shipped and installed our product at the first of our collaboration customers and signed on additional customers. And this all culminated with the completion of our initial public offering and concurrent private placement in December, which weighs approximately $314 million in net proceeds. Now since we last updated you at the J.P. Morgan Healthcare Conference in early January, we have continued to make incredible progress across all dimensions of our business. We made great strides at our first three collaboration sites, Oregon Health & Science University, Knight Cancer Institute, the Broad Institute and Discovery Life Sciences. All three sites are progressing at or ahead of our expectation. We're also extremely excited and privileged to announce the addition of Salk Institute as our fourth collaboration customer. With our collaboration customers on board, we are not turning our attention to the limited release phase of our commercialization approach. Omead will walk you through more details on the overall commercialization progress shortly. And we announced today, and you may have seen that we've signed a non-exclusive commercial agreement with SCIEX to provide complete end-to-end solutions for unbiased, deep, rapid and large-scale proteomics. This builds on the existing commercial agreement with Thermo Fisher and Bruker that we announced earlier this year. In 2021, we've already presented at several scientific conferences, sharing exciting results from the studies that we did in collaboration with our customers and partners demonstrating the unique capabilities of our platform. And finally, we further strengthen our balance sheet by raising an additional $103 million in net proceeds from our follow-on offering in February. We are very much at the onset of this journey and while much work remains, we're excited and inspired by the opportunity that lays in front of us. Since our IPO, we've seen an acceleration, enthusiasm, energy and investment in the proteomic space. We're building the technology, the team and the commercial path to lead the way in this new era of opportunity. People and culture are core to innovation. And we have continued to attract the world-class pool of talent and made significant additions to our management team over the past few months. We welcome Marissa Dixon, as our Chief People Officer. Marissa brings over 20 years of experience across technology and healthcare industries to help build our culture and teams. We've also welcome Elona Kogan to Seer as General Counsel. Elona brings broad global experience in publicly traded companies across biotech and pharma. Serafim Batzoglou, joined us as VP and Chief of Computation. Serafim is a globally recognized expert in data science and machine learning. He was previously at Illumina and before that a Professor of Data Science at Stanford for about 15 years. Shashanka Muppaneni has joined as VP, Corporate Development with an extensive background in Corporate Strategy, Business Development, and M&A most recently at Illumina. And finally, Karen Possemato, as VP, Corporate Marketing and Communications. And Karen has spent 25 years in Commercial and Corporate leadership roles at industry leading high growth life science companies, including Illumina, Qiagen and Invitrogen. We also announced earlier this quarter that Deep Nishar, Senior Managing Partner at SoftBank and Dr. Mostafa Ronaghi, Former Chief Technology Officer at Illumina have joined our Board of Directors. Their unique and complementary perspective as technology expansion, healthcare innovation and ecosystem creation will be invaluable to Seer as we accelerate and expand our markets. From existing proteomics researchers to genomic researchers and from multi-omics core labs to commercial entities, biopharma and clinical accounts, we see unbiased, deep and rapid proteomics at scale offering tremendous value to our markets and customers. The proteome is truly the next frontier in furthering our understanding of human health and disease as the only available method positioned to unlock and expand biological insight in this way, Seer is ready to deliver this value. Now with that, I will turn the call over to Omead for more details on our commercial progress. Omead?
Omead Ostadan: Thanks. To ensure we can continue on execute at a high level, we have focused our commercial efforts and investments around three critical areas. First, building a great team; second, delivering a great product; and third, developing critical strategic partnerships. All of these are done with aim of delivering exceptional customer experience that enables our customers to realize their scientific vision and rewards them for their faith in our products and our company. We exist to serve and empower our customers with products and services that remove technology as a bottleneck to realizing great scientific vision. Although we're still early in commercialization, I am very encouraged by the initial rollout of the Proteograph Product Suite. In near weeks, our collaboration customers have made incredible progress. Oregon Health Sciences University, Knight Cancer Institute was our first customer to receive a Proteograph in late November of last year. Shortly after the New Year, they began processing their own samples and they recently completed an initial pilot studying prostate cancer. They are using the resulting data as a foundation for a larger project of between 500 to 1000 samples. They are also gearing up for two additional studies. First, is a multi-omics study that aims to correlate proteomic and complementary omic alterations in hematologic cancer and that may include up to 300 diagnostic and longitudinal time point specimens. Second is a multi-arm study focused on assessing proteomic responses of cancer models following system per curation. [ph] We are deeply committed to our continued collaboration with OHSU, and we look forward to supporting their path towards inclusion of unbiased deep and large-scale proteomics across an expanding number of programs. The Broad Institute, which received their Proteograph in December 2020 has also begun running their samples for initial project. Similar to OHSU, the Broad expects use the Proteograph where additional larger projects in the coming months. And we look forward to their progress and findings. And most recently, Discovery Life Sciences received their instrument, which has been successfully installed and they are completing their training. We expect them to be up and running with samples in the coming weeks. And we look forward to partnering with them as they explore the use of the Proteograph for a range of studies and number of which are expected to focus on proteogenomics questions. And as Omid mentioned, we have added the Salk Institute, a world-renowned multidisciplinary research institute, focused on addressing some of the most challenging health issues we face, including cancer, Alzheimer's, diabetes, and more. With the addition of the Salk Institute as our fourth collaboration customer, we have the opportunity to broaden their range of applications for which the Proteograph will be used to include plant biology on model organisms. And to further showcase the range on breadth of the Proteograph Product Suite in uniquely addressing technology bottlenecks in proteomics. While executing on the first phase of our commercialization with our collaboration customers, we have already begun to engage prospective customers for the second phase of our commercialization limited release. As a reminder, in the second phase, we will selectively expand to customers who can scale quickly to demonstrate the power and utility of the Proteograph Product Suite. We are extremely encouraged by the discussions with these prospective customers and we look forward to working with a number of them to demonstrate the unique capabilities of the Proteograph for a wide range of applications. Limited Release customers will not only exemplify applications at a Proteograph, but they will also serve as important reference sites whose adoption will provide others with a clear blueprint to follow. Additionally, some of these customers will serve as centers of excellence that offer unbiased deep plasma proteomic services using the Proteograph Product Suite. Establishing these centers of excellence, during limited release, we will broaden access to the Proteograph Product Suite and enable an ever expanding number of scientists and researchers to access our product in anticipation of broad release. We are also excited to announce our strategic relationship with SCIEX to expand the number of end-to-end solutions we can offer customers. We're looking to adopt unbiased and deep proteomics at scale, coupled with our existing strategic agreements with Thermo Fisher and Bruker, which we announced in January, the addition of SCIEX will enhance our ability to accelerate adoption, expand markets and broaden the overall proteomics and multi-omics ecosystem. With all three of these partners, we're working to further streamline and develop our end-to-end workflows to empower customers to scale their proteomic studies, deepen their insight and expand their application set. Since January, we have already started to engage more deeply with Thermo Fisher and Bruker, and we presented our first joint poster with Bruker at the U.S. HUPO Conference two weeks ago. This poster demonstrated that the combination of our Proteograph and Bruker's timsTOF provides a scalable solution for unbiased and deep plasma proteomics that offers an unmatched combination of depth, breath, speed, and precision. This end-to-end workflow enables researchers to measure well in excess of 1,700 protein groups in plasma without the need for expensive cumbersome and lengthy depletion and fractionation steps. And offers reproducibly and standardization and not possible with conventional and offers reproducibility and standardization, not possible with conventional unbiased methods. Furthermore, from our conversations with potential customers, we have already begun to see the immense value of being able to talk about complete end-to-end solutions. In a number of conversations, especially with prospective customers who are not deeply immersed in proteomics, our ability to offer complete end-to-end workflows is helping groups feel much more comfortable and confident that they too can easily adopt large scale unbiased and deep proteomics. Finally, we are building out our commercial team and increasing our investment in market development. Since the fourth quarter of 2020, we have added key hires in sales, support and marketing. We are also generating specific market development strategies for target segments and customers that we are planning to rollout over the course of 2021. These market development strategies are designed to enrich our funnel of prospective customers, laid the groundwork for adoption and demonstrate the utility of unbiased proteomic data in large cohort studies. We're also working to establish connections with industry consortia and funding bodies to drive education around our technology. Importantly, we've been able to exceed our goals while navigating the challenges presented to all of us by COVID over the last year. And although the risk of COVID is not entirely retired, we believe that we have the right plans and mitigation in place to successfully meet our upcoming 2021 milestones. Our deep collaboration and partnership with our suppliers have proven to be instrumental in our ability to deliver on our objectives. And these relationships and the commitment of these partners give us confidence that we can maintain our objectives over the coming months. Overall, I'm incredibly proud of our team for the progress we've made in such a short time. I'm excited and humbled to be part of such an amazing team. And I'm inspired by their passion, hard work and dedication, which has allowed us to commercialize a transformative product. In summary, I believe we have the technology, the team and strategy to bring the next phase in omics to labs around the globe. With that, I will now turn the call over to David for more detail of our financials.
David Horn: Thanks, Omead. Total revenue for the fourth quarter of 2020 was $336,000, compared to $58,000 in the fourth quarter of 2019. Total revenue for the year was $656,000 compared to $116,000 in 2019. The increase was due to a Small Business Innovation Research grant awarded by the National Institutes of Health in the third quarter of 2019, in which continued through 2020. In addition, we completed a research collaboration study with a partner in 2020. To-date, all of our revenue has been generated from grant-funded activities and research collaborations with biopharma companies. And we have not generated any revenue from product sales. Total operating expenses for the fourth quarter of 2020 were at $13.4 million compared to $5.5 million in the fourth quarter of 2019. Total operating expenses for 2020 were $34.3 million, compared to $17 million in 2019. Research and development expenses for the fourth quarter of 2020 were $5.4 million compared to $3.8 million in the fourth quarter of 2019. Research and development expenses for 2020 were $18.9 million compared to $12.4 million in 2019. The increase in R&D expenses for the year was primarily driven by increased product development efforts related to our Proteograph Product Suite, including an increase in research and development personnel. General and administrative expenses for the fourth quarter of 2020 were $8 million compared to $1.6 million in the fourth quarter of 2019. G&A expenses for the year were $15.4 million, compared to $4.6 million in 2019. The increase in G&A expenses for the year was primarily driven by increased head count and associated compensation expenses, including stock-based compensation, as well as increased costs related to becoming a public company. Net loss for the fourth quarter was $12.9 million, compared to $5.1 million in the fourth quarter of 2019. Net loss for the full year was $32.8 million compared to $16 million in 2019. We ended 2020 with approximately $432 million in cash, cash equivalents and investments. This amount includes approximately $314 million in net proceeds from our IPO and concurrent private placement in December of 2020. Subsequent to year end, we closed a follow-on offering in February of 2021, raising an additional $103 million in net proceeds. In 2021, we expect to continue to grow our investments in all areas of our business, including sales and marketing in our commercial operations, as we continue with the commercial rollout of our Proteograph Product Suite. As we move through the balance of the year, we expect to recognize product revenue from our commercial activities beginning in the second quarter of 2021. At this point, I would like to turn the call back to Omid for closing comments.
Omid Farokhzad: Thanks, David. So in conclusion, while 2020 was a turning point for Seer, we believe this is really just the beginning. We believe 2021 is going to be even more exciting. We're committed to transforming what is possible in proteomics and empowering the scientific community with the tools to achieve exceptional outcomes. We believe that unbiased, deep, rapid proteomics at scale will pave the way for broad scale and novel biologic insight with incredible impact across science and medicine. With that, we'll now open it up for questions. Thanks so much.
Operator: Thank you. [Operator Instructions] Our first question comes from Tycho Peterson with JPMorgan.
Tycho Peterson: Hey, good afternoon. Thanks. I'll start with an R&D question. Just you could talk on the roadmap for building out the library of nanoparticles beyond the initial five you have, how should we think about the timeline stuff? And how important is that, I think in terms of getting additional customer traction?
Omid Farokhzad: Hey, Tycho. Look, last time we spoke we were just north of 275 distinct nanoparticles and that number continues to increase. The direction that we're taking this is essentially understanding that the nano-bio interface and how distinct physical chemical structure of the particles impact the sampling that a particle does. In fact, there is a paper that Seer is submitting, and that should be the next publication that you see from the company that completed the Seer workflow to the existing unbiased approaches. And similarly, it shows how nanoparticles design can selectively tell you what the sample. Now keep in mind that our five particle panel is just starting to be commercialized now. So our focus is squarely on putting that particle or that panel in the hands of the customer and to see how the response is, and then customer demand and customer needs is then going to drive what the next panel will look like. But our arsenal, if you would of the – from a nanoparticle panel will allow us on a relatively short cycle to put the next product out on the hands of the customer and then they went after that, but we want that to be market driven. We don't want to have a lot of skews. We want to have the relevant skews, have the panels that the customers need, where the most demand is. And then that's going to be just the direct communication between us and them as they can use the platform.
Tycho Peterson: Okay. And then as we think about some of the early placements, the original kind of deal model was kind of two-to-one commercial versus academic this year. Can you just talk to traction early discussions with additional clinical partners beyond Discovery Life Sciences in particular, some of the liquid biopsy companies you've alluded to in the past?
Omead Ostadan: Sure, Tycho. Hi. This is Omead Ostadan. So let me answer that question for you. We still believe that that ratio is going to hold this year and if anything, I think the conversations that we've had with prospective customers continue to affirm that point of view and to be clear on the commercial side of it, what we're sensing and what we're actually experiencing in discussions with customers that the interest is quite broad from a commercial application perspective. So you cite early detection liquid biopsy companies clearly they are a subset of customers with whom we've been engaged. They were quite interested but the range of commercial entities interest in this product is fairly broad spanning a diverse set of diagnostic companies, therapeutic companies, commercial services companies and CROs as well as those focused in some applied areas. And so what you expect – what you can expect from us to see is, I think, talked to you all before is we have roughly about six main customer segments, customer type areas that we're focused on. And we expect to have one to two customers from each of those areas among our limited release customers. And in that ratio, I do expect it to end up being again, a two to one of commercial, more heavily weighted versus academic as we work our way through a limited release. So hopefully that answered your question.
Tycho Peterson: It does. And then just last one on the mass spec partnerships, I'm wondering if you could talk a little bit more, you said you've kind of gone a little bit deeper with Bruker and Thermo, which is good to hear. I'm curious how you think about SCIEX, in that context, I assume this would be for their triple top kind of higher end systems, but can you just talk a little bit about how meaningful that could be and how much you can really leverage these larger players commercial resources?
Omead Ostadan: Sure. I'll tackle that again Tycho. So first of all, let me just start off by saying we're really excited to have these partnerships with three of the leading mass spec providers in the world that represent in aggregate the majority of the install base of mass spec platforms for which we expect our technology to be used in a complementary fashion upfront of it. Clearly adding SCIEX did a list that already existed Thermo Fisher and Bruker basically continues to reiterate that they like us see the opportunity for unbiased and deep proteomic to be substantial. And that the combination of our platform as a front end to their detection technologies to be something that's going to be very enabling, not only for existing customers, but more importantly for prospective customers. And so to that end clearly, we have all three of these platforms, by the way, in house, we have SCIEX platforms, Thermo Fisher and Bruker which has allowed us to continue to build on the existing relationships and partnerships we've had, we expect to continue to enhance those relationships and sort of drive forward joint collaborations and product development activities that ultimately is going to lead to even a better experience for our customers. So adding SCIEX to that list for us was important because again, when you look at it, but want to be able to do is we want to be in a position that when we are engaging with customers, that we can talk to them about end-to-end workflows both from the perspective, that if they have a particular detector, we want to be able to know about it and be able to talk to them. And importantly, if they don't have a detector and they want our sort of input to help guide them through the process, the broader set of solutions there are that we can offer to them. The more likely it is that we can guide the customer to an optimal solution that meets that customer's specific needs. And now with the three leading providers of mass spec as our partners, we think we're well positioned to do that moving forward.
Tycho Peterson: Okay. And that's great. Actually, I'm going to ask one more before I hop off. There's a lot of capital that's obviously come into the space with [indiscernible] Quantum-Si, Olink, I'm just curious as you go out and talk to prospective customers, does that change anything from your perspective?
Omid Farokhzad: Look, Tycho, Omid here. Keep in mind that here is the only solution today that offers deep unbiased proteomic at scale. So the alternative to Seer is basically other unbiased approaches that do not scale. The activity that we're seeing in the market today, I think just validate if you would, the opportunity in the proteomic space and the enthusiasm that the investor community, the scientific community has for what is likely going to be the next frontier in molecular information. But the targeted approaches that are coming, they answer a distinct question that it has different set of questions that a customer is able to get using Seer platform. And then, so in that case, I'm talking about, companies like Olink, SomaLogic that are focused on targeted approaches. And then folks that are trying to develop, if you would, the next generation detector, their business model is to ultimately potentially replace a detector like in mass spec. And again, from a Seer perspective, we are detector agnostic. So not only do we sit upstream to any mass specs. And as Omead mentioned, we have – we work with the leading mass spec in our whole lab. We have partnership with all of them, but frankly, we are also detector agnostic in that, it's ultimately another detector other than a mass spec becomes available that gets commercial traction. Then the Proteograph will go and fit upstream through that detector to deliver unbiased, deep access to the proteome. And then the detector would be the new detector. The only thing that would change is the very end of an assay that the Proteograph would need to run. So in that context, Tycho, I don't see the – either the detector proteomic companies still be our competitor nor do I see the targeted approaches still be our competitor. What I do see is that just like with next generation sequencing and an enormous amount of biological insight was generated. And then when that happened, the targeted genomic approaches if you would like PCR that didn't become obsolete. In fact, if anything with new biologic insight that NGS enabled with so much genetic variants, new markers and others, the ultimate need for those targeted genetic approaches, whether I was talking to sequencing or PCR actually increased. So my expectation is that as customers began to adopt the Proteograph and we began to do deep unbiased proteomic at scale, the number of biomarkers and plasma will increase by many, many folds, probably tens of thousands, the number of protein variants in other tissues will increase begun by many folds and probably hundreds of thousands. And in fact, those – that biologic insights that is then gained using an unbiased approach to proteomics will actually trigger a need for targeted panels to then be created at that drive value from that biological insight. So we see these other entities Thyco as complementary, but not at all a competitor to Seer, we’re the only existing alternative solutions that don't scale.
Tycho Peterson: Okay. That's helpful. I will let jump in. Thanks.
Operator: Thank you. Our next question comes from Tejas Savant with Morgan Stanley.
Tejas Savant: Hi guys. Good evening. Just want to follow up on, one of Tycho’s earlier questions. Omid or Omead, can you elaborate a little bit on your experience with Discovery Life Sciences? That's particularly interesting since they do a ton of multi-omics work, but they haven't really done proteomics at scale before. Omead, can you share some color on how the installation went as well as sort of any sort of learnings through the process via your conversations as you get them up and running on their own samples that you could then leverage to other clinical customers down the road here?
Omead Ostadan: Sure. Let me expand on it. So, first of all, very, very excited to have Discovery Life Sciences as a collaboration customer and in particular, Dr Shawn Levy as one of our partners, I've known Shawn for a long period of time. And I think he's one of the smartest and brightest technology and application evaluators outcome across. So it wasn't accidental that we really targeted early on to work With Discovery Life Sciences, because I just think Shawn is fantastic and, the way the experience is playing out is exactly that. So, and they're looking to incorporate proteomics as yet another leg to the multi-omic offerings that they have. And the reason that they hadn't offered proteomics previously is because, if you look at what they do, nearly everything they do is done at scale, and there weren't any existing scaled approaches to unbiased proteomics to complement what they're doing from a genomics epigenomics, and transcriptomics perspective until the Seer offering. And so super excited to get going with them. It is very, very early days. I mean, the system has just gotten installed and we're completing the training. We have already started having some discussions with Shawn around the next phase of the collaboration studies rather than sort of kind of getting too much into the details of it right now, because there's aspects of these collaborations. So these, quite frankly, that we'll want to make sure we focus in hone in on and demonstrate before we start to talk about the studies. They are going to be largely of a proteogenomics nature in that we're looking to ask and ideally answer specific questions that connect genomic, possibly transcriptomic and epigenomic information with proteomics information resulting from the same cohort set. So very excited to get going with that. I mean, I can tell you, there's no shortage of ideas on projects that we can do. And what we're going through is we have a triage approach to tackling these one after another. So you can expect to hear more color and more results coming from not only Discovery Life Sciences, but our other collaborators over the coming weeks and months as well.
Tejas Savant: Got it. Very helpful. And then given, that you're already in a limited release here in March, Omead, is that a chance of the broad commercial release perhaps the coding, by late in the fourth quarter or early next year, still the right way to think about it?
Omead Ostadan: Well, I'm assuming by Omid you meant there's [indiscernible] looking at me and the reason why I am juggling, because this is a question that I'm wondering if you paid you to ask this question, they say, yes. No, look, I think our aim is to very successfully execute on to three phases of our commercial rollout. We feel really good about where we are with our collaboration phase. We're very, very encouraged with where I expect we're going to end up with our limited release phase. I don't expect any material change in terms of timing and really quite frankly, the reason for it is because look it's one of the big things that we're looking to do is make sure that we give these limited release customers, the ability to actually not only just demonstrate the initial installation of the project – product, but getting these product, the platforms at each other sites to scale. And as you know, that does take a little bit of time. It does take a little bit of time to actually just do that, not only just do this studies, but have the results of them that we can communicate about. So I don't expect that we're going to move in, the timing of broad commercial release, but I'm also cognizant of the fact that we're just about only finishing up the first quarter of 2021. So right now I would expect I'm going to stay on track as we've communicated to you. And I'm super excited to navigate going with the limited release phase of our commercialization.
Tejas Savant: Got it. Got it. And then just a couple you for David. David, I mean, as I think about sort of the collaboration early access installs and ramping through the – is the mid-teens sort of your end installed base number fair way to think about it in terms of instruments, in which you'll recognize revenue or I know there's a dynamic where some of these instruments could get installed sort late-ish in December, and you might have some sort of that you recognize revenue on only next year. Can you just sort of at a high level directionally, perhaps give us some color on the installed base ramp here?
David Horn: Sure, Tycho. It's – I think, is following up on what Omid said just about sticking to our phases. I think we are still committed to the three phases and with the four collaboration partners, and as Omid has also discussed, we have six different areas, right? Where we hope to have one to two customers that kind of puts you in high single digits in terms of the number of customers we'll have in the limited release phase. So if you put those two together, you're kind of getting, in that area that you were talking about. And so again, I think we're going to stick to that plan and we'll certainly kind of be as transparent as we can as that starts to come to fruition. But I think we are committed to kind of the limited release this year with those high single digits in terms of customers, and then adding on the four collaboration customers we have for 2021, and then moving into 2022 for broader release.
Tejas Savant: Perfect. And one final one for me for Omid again. Any progress to report on the sample and book requirement. I know that that's kind of like beyond, adding of additional nanoparticle panels here. That's the other thing that you were focused on? Should we still expect sort of some improvement that heading into sort of the back half of this year and then 2022?
Omid Farokhzad: Yes, so we are in the process of doing multiple things at once. One, extend particle panels; two, kind of think about the workflow from an assay perspective and then three, explore different matrices, other than plasma. And as we've already exemplified utility platform in plasma serum, super spinal fluid, synovial fluid, cells and tissue and urine actually. And so where we go with this, I think, it's going to be largely driven for market research, right. In other words, the assay could actually, significantly utilize less if you would biological sample and to give you a readout. But the real question for us right now is we want to get market feedback so that the next iteration, if you would product two, product three, that goes to the hands of the customers is more or less exactly what the customers need. So the capabilities we're building, the configuration of what that would look like, I like that to be driven by data and by market, which I think, is the only way to get there is Omead puts this in the hands of enough customers, and we have adequate feedback for the next iteration to come. So capabilities to just we'll have the exact configuration I would propose less visits at the second half of the year and we'll have more clarity there.
Tejas Savant: Got it. Perfect. Thanks so much. I appreciate time guys.
Operator: Thank you. Our next question comes from Derik De Bruin with Bank of America.
Derik De Bruin: Hi, good afternoon.
Omid Farokhzad: Hi, good afternoon.
Derik De Bruin: Hi. So just sort of following up on one of your earlier points, you talked, I mean, certainly can appreciate thinking about the unbiased approach and discovery elements of it, and then the more targeted approaches that are coming out there. But I guess, if you sort of extend that analogy and you sort of look at what Illumina did by acquiring GRAIL, I know you've got PrognomIQ as sort of your – sort of your diagnostic arm, that's where you're involved in that is. But I guess, are you not ultimately worried about some of these more targeted areas about the value being ultimately going to some of these more downstream applications, as opposed to the discovery?
Omead Ostadan: Derik look excellent question. And I have probably surveyed, I don’t know, 30 different experts. I may have even asked your opinion about this question. As we were thinking about, our strategy, right. I think Illumina ended up with Illumina that in large, because for long time customers, weren't looking over their shoulder thinking that Illumina was going to eat their lunch. And then they scaled and they got 80% market share, but that took a number of years to penetrate the market in that way. And then at that point, if you would, the ecosystem that they had created because of the ubiquitous of that platform was so large that the application aspect of it was growing and then they chose to bring that in-house. Our strategy, and in fact, the spin out of PrognomIQ really kind of speaks volume to that, is that we wanted to be squarely focused on our opportunity in front of us, which is to be the definitive tools leader in the proteomic space. We want to communicate to our customer that we want to be your partner, we want to help you to kind of achieve your goals and objectives in research and your applications and you never have to look over your shoulder that I'm going to be eating your lunch. That's going to kind of drive you as quickly as you can to jump up my platform and do something else. So I think that in the near future, or even in the mid future, I like for deep on bioproteomic at scale to become synonymous with Seer. And in that regard, I think, our strategy to be kind of focused on our customers makes a lot of sense if I end up having the privilege. And I think time will tell, we certainly have the right team, we have the right technology if we execute well, I think time will tell, then if all goes our way and we ended up being synonymous, if you would, with deep unbiased proteomic and have magnificently large market share of that, then I do think Derik, as part of our next phase of growth, I might bring some of those applications in-house. But I think today, the current strategy is one that makes sense for us for the foreseeable future.
Derik De Bruin: Great. And then just one quick, follow-up on this one or another one. So I realized you are just now getting things into your collaborators hands, your early access customers hands. But is there any indication that the technology transfer won't transfer as easily I mean, issues with reproducibility. Is there any sort of sign that it might be – the path is sort of transferring things from your hands to your collaborators’ hands may have some issues.
Omead Ostadan: I'm pausing to answer because I'm hoping not to jinx myself. So far, we haven't seen any sign that suggesting it would be. And I speak from a position of having, obviously, as you know, been – I have had the privilege to be involved with the introduction of a number of new technologies. I think there's a couple of things about this technology and this assay that have put us in a position to feel really confident that the level of sort of, if you will, technology transfer and reproducibility and ease of use are going to translate outside of Seer. And a lot of that has to do with the fact that if you look at what we've done is – what we've done is we're focused on taking a process today that is unweldy, irreproducible, difficult cumbersome, you name it, and we basically automated it. Using a really elegant assay design that just takes out almost all of the hands-on interface that a person would have with the workflow.  And by automating that process, on by definition, we have taken out potential resources or that would lead to things like error and irreproducibility. So you actually have a really tight process on a back of a liquid handling automation system that is not only globally proven, but is at the backbone of much of much of what's happening in terms of COVID testing and vaccine testing, and so it's a super robust platform, a really well-designed and elegant assay that takes the operator out of the intervention. And so that actually, if anything, has led to a level of reproducibility, that makes us confident we can transfer this technology. I will honestly tell you, far more easily than, say, its technology like next-generation sequencing, certainly, relative to its early days. So I feel really good about where we are, the experience with the customers so far proves that out, and I think this is going to play out in a very relatively straightforward transfer of product to a variety of customers way.
Derik De Bruin: Great. Thank you very much.
Omid Farokhzad: Thanks Derik.
Operator: Thank you. Our next question comes from Doug Schenkel with Cowen. 
Doug Schenkel: Hi everybody. Thank you for taking my questions. My first question is on your move into Phase 2 of the early commercial launch. As you make the move, what type of customers do you envision targeting? Is it going to be more of the same, or ideally, will you attract a more diverse customer set, maybe more biopharma and more multiomic customers? How are you thinking about that?
Omead Ostadan: Yes. So I think look, we – I'd love to have more of the same, if you will, because the caliber of the customers we have to date are fantastic, and I expect we will have others of similar caliber. But as you would expect, Doug, there is going to be increasing diversity here. You talked about biopharma. Clearly, that's going to be one group we're going to work with. There's going to be, I suppose, you can you can expect to see customers who are probably more – I don't know if you want to call it, sort of translational or genomics clinical genomics types of customers, we'll certainly be among them. Customers who are strictly CROs and then certainly multiomic customers as well. And then you'll begin to see some degree of geographic diversity as well because so far, obviously, as I've noted, all four of the customers we have are based in North America, we've talked to you about, obviously, not just staying focused in North America. So you can expect to see an increasing diversification of customer type, application type and certainly geographic diversity as we move forward through limited release and then working our way towards broad launch.
Doug Schenkel: And then how many placements would you expect in Phase II? What's the right way for us to define success there in terms of number of partners and number of Proteographs out there?
Omid Farokhzad: Yes. So I think what we've talked to you all in the past. And I think, David, just a few minutes ago, reiterated it is we're targeting somewhere in the high single digits in terms of limited release customers. And because there's six, if you will, primary target customer segment and types that we're focused on establishing at least one to two lighthouse accounts in. And so that, I think, is going to end us in the high single digits in terms of limited release customer sites. And then you can add on to that, the collaboration customers who have got in, that will give you a sense of the total number of customer sites, we expect to be at through the first two phases of our commercial release.
Doug Schenkel: Okay. And building off of that. And as you just noted, again, a month ago, you were at two customer sites. You've since made a third placement and announced your fourth planned. As we're looking for milestones to really measure how things are going beyond the placements and the move into the next phase, I'm curious what you can share in terms of how things are progressing with the Phase 1 customers? And specifically, how should we think about milestones as we look ahead to Q2? And I'm curious, are the collaborators deciding what studies to do or does Seer have input on study design and then, sort of by extension, when we might actually see some publications?
Omead Ostadan: Okay. So I think my count there's at least four questions, let me see if I can answer each of them. In terms of the publications, the short answer to that is, certainly, that is one of the seminal drivers for the collaborations that we're doing. The aim of it is – and that's not just ours. It is actually, in fact, out of the collaborators is that the work that we're doing together is novel and publication worthy. So absolutely you can bet on us working with our collaborators to generate the type of studies that then merit publication. Now as you know, the lead time for these things is a little bit longer. And so what are we doing in the interim?  Well, our plan is that in the interim, you can expect to hear from our collaborator customers. You can expect to hear from them either through information that Seer is going to be publicly available such as we might post certain things on our website that can give you a glimpse into what the customers are doing. Certainly, you can expect to see and hear from these customers at industry conferences in terms of joint poster abstracts and certainly in terms of independent poster abstracts, or presentations. We absolutely – we'll make it a point to make sure that you all are getting a view into how our customers are progressing as the year goes on. In terms of input into the collaborations, yes, we certainly have not only input, but these are joint collaborations that we're defining in the first sets of these engagements with these customers. And then over the course of time, clearly customers are going to do more of the things that they really think are going to be very suitable for their areas of interest. But we do want to make sure that in the case of every one of these collaborators, we have a clearly defined, if you will, study that we want to demonstrate because that's the purpose of being very selective about the collaborators, but very much also enable these collaboration customers who are thought leaders to be able to drive the application and the product forward as they best see fit. So you'll end up being a combination, Doug, you some absolutely 100%, and the rest of them, quite frankly, they're going to know way better than I will know, for example, what are the ways in which the Proteograph is going to be particularly enabling to their studies, and in that case, we're going to let them be able to run with that. So hopefully, that – I think I answered all of your questions, but if I fail to answer, then please remind me.
Doug Schenkel: No, you got it. And then last one, just going back to something Tejas touched on. I just want to make sure I got the answer. When you guys go to full commercial launch in early 2022, is it a given that you'll be in sample types beyond human plasma? Or should I take the answer you gave earlier to mean that it remains to be seen, and we should wait till the second half to get a black and white answer on that?
Omead Ostadan: Doug Omead here. I think the way you should think of it is that we're building the core capability to not only be in different sample types, but to be – to have different configurations that would even get different protein types. The key question is what is product two, and what is product three? What is the timing between that? And I think that that has to be driven by the customer, otherwise, we're just getting, right? We have to let them – we have to let these panels run wild with the customer and then they come back to us where their needs are, and we're ready to go to kind of put a configuration, and then that becomes product two and three. And I think we'll be in a much better position Doug to tackle that second half of the year. And I'd like to buy myself some airtime and ask you to come and ask me that question in the second half of the second half of the year. How is that for us?
Doug Schenkel: Okay. That sounds good. Okay, all right thanks guys.
Omead Ostadan: Super.
Operator: Thank you. And I am not showing any further questions in the queue sir. 
Omead Ostadan: Thanks so much. And I think we're then done. Really, really appreciate it. Thanks so much everyone.
Operator: Thank you, ladies and gentlemen, for your participation in today's program. You may now disconnect. Have a wonderful day.